Operator: Ladies and gentlemen thank you for standing by. Welcome to the Quantum-Si First Quarter 2024 Earnings Call. [Operator Instructions]. Please be advised that today's conference is being recorded. I would now like to turn the conference over to Katherine Atkinson from Quantum-Si. Katherine, please go ahead. 
Katherine Atkinson: Good afternoon, everyone. Thank you for joining us. Earlier today, Quantum-Si released financial results for the first quarter ended March 31, 2024. A copy of the press release is available on the company's website. 
 Joining me today are Jeff Hawkins, President and Chief Executive Officer; and Jeff Keyes, Chief Financial Officer. 
 Before we begin, I would like to remind you that management will be making certain forward-looking statements within the meaning of federal securities laws. These statements involve material risks and uncertainties that could cause actual results or events to materially differ from those anticipated. Additional information regarding these risks and uncertainties appears in the section entitled Forward-Looking Statements of our press release. 
 For a more complete list and description of risk factors, please see the company's filings made with the Securities and Exchange Commission. This conference call contains time-sensitive information that is accurate only as of the live broadcast today, May 9, 2024. 
 Except as required by law, the company disclaims any intention or obligation to update or revise any forward-looking statements. During this call, we will also be referring to certain financial measures that are not prepared in accordance with U.S. generally accepted accounting principles or GAAP. A reconciliation of these non-GAAP financial measures to the most directly comparable GAAP financial measures is included in the press release filed earlier today. 
 With that, I will turn the call over to Jeff Hawkins. 
Jeffrey Hawkins: Good afternoon, everyone, and thank you for joining us. In today's call, we will provide a business update to present our first quarter 2024 financial results and provide an outlook for the remainder of 2024. We will then open the line for questions. 
 As a reminder, the goal of Quantum-Si is to bring next-generation protein sequencing to every lab, everywhere. Our proprietary technology delivers deeper unbiased proteomics insights that we believe will accelerate scientific research, enable the discovery of new biomarkers and ultimately power the development of new therapies and diagnostic tests that will positively impact human health. 
 With the full launch of Platinum now underway, I wanted to take this opportunity to share our corporate priorities for 2024. These priorities build upon what we accomplished in 2023 and will guide our execution throughout the year. 
 Our corporate priorities for 2024 are as follows: accelerate commercial adoption, deliver on our innovation road map and preserve financial strength. With those priorities in mind, I would now like to provide an update on our progress during the first quarter as well as provide an updated outlook for 2024. 
 Our first corporate priority is to accelerate commercial adoption. As I discussed on our last earnings call, we were finalizing our commercial readiness to support our full commercial launch. The preparations included training of the current and new members of our direct sales force and training of our distributor network. The preparations also included the launch and initial rollout of the Version 2 sequencing kit to customers, which we began executing on in early February. 
 As of today, all customers have successfully migrated to the version 2 sequencing kit. Based on all these items being complete, I am pleased to announce that we have moved into the full commercial launch of Platinum as of the end of March 2024. 
 Going forward, we expect to have steady quarter-over-quarter revenue growth as we progress through the remainder of 2024. We will continue to closely monitor our commercial performance and customer success rates and leverage that data to execute on a thoughtful scale-up of our commercial infrastructure, both direct and distribution throughout 2024. 
 In addition to gathering routine customer feedback, we will continue to work closely with key opinion leaders and early adopters of our technology to help define and develop future applications for our technology. 
 As a reminder, our commercial strategy involves a mix of direct sales and distribution partners. In the U.S. market, we are currently operating with a direct sales and service model. In EMEA, our initial focus is the European market where we will use a mix of direct and distribution approaches. 
 In addition, we have a distributor partner in Japan, which we expect will serve as our strategic entry point into the broader APAC market. At the end of the first quarter, our direct commercial team, which consists of sales, marketing, service and support personnel encompass approximately 24 individuals based in United States and Western Europe. 
 Customer interest in our uniquely differentiated technology has always been strong. From our initial launch in December of 2022 until now, we have observed consistent growth in our sales funnel in terms of the number of leads generated every month. As we move forward with our full launch, the focus will be conversion of these leads into instrument placements and revenue. 
 Our current commercial team size is in line with our expectations to support the early phases of the full commercial launch and we will be closely monitoring a variety of commercial metrics as we look to shape and grow our team and approach going forward. 
 From a market segment perspective, our customers to date have largely been academic research labs. In the first quarter, that changed in a positive way. We are pleased to report that we secured our first customers in both the government and pharma market segments. 
 These first 2 success stories underpin a broader interest we are seeing emerge in these 2 market segments in addition to biotech and other commercial applications. 
 We continue to believe academic research labs will remain a key customer for us going forward but are pleased to see customers in these additional market segments adopting our technology as well. 
 From an application standpoint, one application we are seeing increasing interest in is barcoding. For customers who need to generate and characterize large numbers of proteins, protein barcodes can be used to streamline screening and selection of proteins with the desired characteristics. 
 Bar coding applications could potentially span multiple market segments, including biomedical research, pharma, biotech and industrial. For these customers, Platinum offers a simple, cost-effective and highly specific way to screen hundreds of proteins at once. 
 While adoption of our technology is in the early stages in pharma, biotech and government labs, it does highlight that with growing market awareness and an ever-increasing set of capabilities, our technology addresses an unmet need we believe will be of interest to customers across the broad range of market segments and lab types. 
 On a macro basis, we closely monitor the information and themes being shared by companies across the broader life sciences market regarding sales cycles and capital sales process. 
 Early evidence of our sales cycle indicates that it is approximately a 3- to 4-month process with a slightly longer sales cycle in some segments as those customers may require a hands-on evaluation of our technology before making a buying decision. In general, we expect the sales cycle trend of 3 to 4 months to continue into the future. 
 Another theme in the broader market has been challenges securing capital budgets in general and within the market in China specifically. 
 To date, we have not seen these issues affect us given the price point of our Platinum device and the value the technology offers versus competitive instrumentation. As a reminder, our Platinum instrument has a current list price of $85,000 whereas many of the other instrument offerings in our space carry list prices ranging from $500,000 up to $1 million or more. 
 With respect to China, we do not currently sell Platinum in that market, so we are not exposed to any of the headwinds being discussed by other companies in the broader life science market. 
 With the full commercial launch underway, we are laser focused on our commercial execution to ensure consistent quarter-over-quarter growth. We will closely monitor commercial success metrics and look to expand our commercial footprint in a fiscally responsible way, while ensuring all our customers receive the highest level of service and support. 
 As we have said before, our goal is not simply to place instruments. It is to secure customers who will utilize our technology to advance their research for years to come. As this process evolves, we will be nimble and adjust our approach to maximize our revenue growth while ensuring customer success. 
 Our second priority is to deliver on our innovation road map. In February, we launched our version 2 sequencing kit, which includes the introduction of a new amino acid recognizer, high reproducibility across runs and an approximately threefold reduction in cost per amino acid. 
 I am pleased to report that we have successfully transitioned all our existing customers to the version 2 kit. Overall, the customer feedback for the version 2 kit has been very positive. 
 Last week, we announced the release of a new version of our Platinum analysis software. This new version of software offers customers an average of a 55% increase in the number of peptide alignments, a 9% increase in the precision of identifying unknown proteins present in a sample and a 70% reduction in primary analysis time from 85 minutes to 25 minutes. 
 As part of the analysis software launch, we also shared some details about our proprietary kinetic model and kinetic database, made up today of nearly 2 million parameters. The ability to continuously train the kinetic model on generated sequencing data represents a significant opportunity to unlock even deeper insights from our next-generation protein sequencing technology, further building upon the improvements we expect to continue to make to the sequencing chemistry. 
 Turning now to our version 3 kit. Our product development team is fully engaged in this program, and we expect to deliver this updated kit to our customers by the end of Q3 2024, as previously communicated. 
 It is still too early to discuss full details of this latest kit update, but current development results are promising, and we are expecting a very meaningful performance improvement over the version 2 kit. 
 The level of innovation happening every day across our R&D teams is exciting to get to see. Equally important to our long-term success is the significant strides we have made in terms of project planning and execution. Delivering products our customers can use every day is the goal of our innovation pipeline, whether that be a new sequencing kit, new software or a new instrument. 
 Looking back at the version 2 kit project and now more recently, the Version 3 kit project, it is impressive to see our R&D team build plans and execute them in such close alignment with the targets set out at the start of the program. It is this level of planning and execution rigor that is critical to reliably delivering on a continuous flow of new products to customers. 
 I'm confident we have that foundation in place and I'm personally grateful for the work our R&D teams are doing every day to advance the field of proteomics with next-generation protein sequencing. 
 Finally, we attended the U.S. Human Proteome Organization Conference in March, where a Quantum-Si customer gave an oral presentation regarding their use of Platinum for PTM detection and a second customer presented a poster describing their use of Platinum to develop alternative library prep applications for next-generation protein sequencing. 
 Furthermore, in late February, Dr. Chris Mason presented a webinar about using next-generation protein sequencing to characterize extremophiles, historically difficult and understudy set of organisms that naturally exist in nature and our interest in various industrial applications. 
 We expect that customers will continue to present their work at industry conferences throughout 2024, further increasing awareness of the benefits of Platinum. 
 Our third priority is to preserve financial strength. As we state on each of our calls, we remain committed to continuously improving our fiscal discipline. Now that we have the first quarter of activity completed, the results are becoming clear. 
 We have reduced our overall spend year-over-year while improving our ability to deliver new products to the market, all while funding our commercial operations ramp up. Jeff will go into more details on this, but we believe these results are excellent, and it shows how focused we are in utilizing our capital in the most effective way. 
 We are confident that we are appropriately balancing the need to preserve capital with our goal to maximize commercial adoption of Platinum and deliver a steady cadence of new products to customers. 
 Delivering on these 2 goals represents a significant strategic advantage that will be the foundation of our growth for years to come. 
 I will now turn the call over to Jeff Keyes to review our financial results. Jeff? 
Jeffry Keyes: Thank you, Jeff. Now let's discuss the details of our first quarter 2024 financial results. Revenue in the first quarter of 2024 was $457,000, which consisted of revenue from our Platinum instrument, consumable kits and related services. Gross profit was $269,000 and gross margin was 59%. 
 As I've stated before, our gross margin percentage will be somewhat variable in the near future as we work through our initial stages of commercialization and will also be impacted by the timing and mix to instruments versus consumable sales.
 Our margin will also be impacted in the near term by acquisition costs and any accounting adjustments to underlying inventory that dates back to the pre-commercial stage of Quantum-Si.
 As we are still working through these items, we have not provided a margin percentage guidance for 2024, but what I can say is the margin mix for the first quarter of 2024 includes approximately a 10% benefit for inventory utilized in the first quarter that were carried at lower or no value that dates back to prior to our initial commercialization. 
 We expect more of these variances that we'll work through into our margin over the course of the year, both positive and negative, and I will point them out as these things evolve. 
 GAAP total operating expenses in the first quarter of 2024 were $23.6 million compared to $29.3 million in the first quarter of 2023. While adjusted operating expenses were $21.9 million for the first quarter of 2024 compared to $24.6 million for the first quarter of 2023. 
 As we alluded to in our press release today, the year-over-year reduction in operating expenses was the result of several initiatives we put in place in 2023 to maximize our capital efficiency, including our R&D realignment efforts while at the same time delivering a steady cadence of R&D enhancements to our customers. 
 Specifically, this has resulted in lower spend in R&D by $6.1 million and effectively swapping G&A dollars to fund commercial operations, increasing overall SG&A by only $350,000. 
 Net loss for the first quarter of 2024 was $19.5 million compared to $23.6 million in the first quarter of 2023, a decrease of $4.1 million. The decrease in net loss was primarily related to the operating expense reduction previously discussed, partially offset by changes in dividend income and unrealized gains on marketable securities. 
 Adjusted EBITDA for the first quarter of 2024 was negative $20.5 million compared to negative $23.7 million in the first quarter of 2023, an improvement of $3.2 million. This improvement was primarily related to the aforementioned reduction in operating expenses, primarily in R&D-related costs. 
 Near the end of 2023, we made some structural changes to our investment holdings makeup to maximize yields while minimizing risk. These changes, along with the impact of rate increases, produced dividend and interest income of $3.6 million in the first quarter of 2024, compared to $2.2 million in the first quarter of 2023, an increase of $1.4 million. 
 As of March 31, 2024, we had $235.4 million in cash and cash equivalents and investments in marketable securities. We are also reaffirming our 2024 financial guidance, which includes revenues to range between $3.7 million and $4.2 million, adjusted operating expenses to be less than $103 million and net cash usage less than $100 million. 
 Finally, we still expect that our existing cash and cash equivalents and investments in marketable securities will provide runway into 2026. 
 Now I will turn the call over to the operator to open the line for questions. 
Operator: [Operator Instructions] Our first question comes from Swayampakula Ramakanth with HCW. 
Swayampakula Ramakanth: This is RK from H.C. Wainwright. It looks like it was a great quarter. A lot of progress on all fronts, which is excellent to hear. 
 So starting off from the top line, in terms of the commercial launch, I know you said -- you did the full launch only in late quarter. But I'm just trying to understand how are you seeing the launch progress since the end of March to now. 
 And it's also good to see that you're holding to your full year guidance on the revenue side. So if you can kind of give us a little bit of color as to what gives you the confidence that you would reach that guidance level? 
Jeffrey Hawkins: Yes. Thanks for that question, RK. I think the first part of that is, you are correct. The full commercial launch started right at the tail end of March 2024. So we're in the early innings of that. 
 As we had talked about on our last call and mentioned here today, we had a series of new sales reps and distribution partners that were trained in the first quarter. So those folks are coming up to speed. We're satisfied with the rate of that coming up to speed. 
 But given many of them are in their first sort of 3 or 4 months with the company, we do view Q2 as sort of a more modest step up from Q1 in terms of the revenue. And then really with those folks fully in and executing the back half of the year then able to accelerate more. And in total, that sort of general shape of the curve gives us confidence we'll be where we need to be in terms of delivering on our revenue guidance of $3.7 million to $4.2 million. 
 The other thing I'd add, RK, that's relevant to that is we will look at options to sort of scale up the commercial team as we go throughout the year, and we'll do that more based on some of those early signs we see here throughout Q2 and into Q3 in the beginning of this full commercial launch. 
Swayampakula Ramakanth: Perfect. And then just in terms of the segments where you're selling, in the press release and also in the prepared remarks, you talked about government and the industry being also the areas where you're selling. 
 So when you say government, are we talking about government labs? Or is it some sort of a regulatory institutions that we are talking about? I'm just trying to get a feel for it. And how easy was it to penetrate that segment in itself. 
 And in terms of pharmaceutical industry, is this something of a one-off? Because I know you are putting in lot of focus on the academic labs. So I'm just trying to understand how should we think about this? Or should we wait to get overly excited and get you guys into trouble. 
Jeffrey Hawkins: Yes, it's probably too early to get overly excited. We certainly are optimistic about the long-term potential in these segments. So I think if I unpack your question into a couple of parts. 
 So when we say government accounts, what we mean by that are labs that are being run by government entities. We don't mean regulatory agencies. So that could be various branches of the military, it could be national labs, it could be other facilities like that. But they are -- they fit into that mold of a government funded and a government-run entity. 
 To answer your question on how hard is it to penetrate. I think the way I would characterize it, RK, is similar to pharma and biotech. We talked in the very early days of our controlled launch that academic was going to be the primary focus because that's where you had some of the KOLs and those real innovators who would adopt technology and really work with you to see what it was capable of and how they could apply it. 
 But at that same time, we were beginning that process of building relationships and momentum in these other segments. At the end of the day, they just take a bit longer to get that initial traction. We mentioned a little bit in our remarks that some customer segments we'll want to do a hands-on evaluation. I would say that, that's reasonably common in the pharma biotech segment. 
 So while it's a bit of a longer sales cycle than, say, an academic lab, we're definitely pleased to have gotten these first 2. And we don't believe that this is a one-off. This is not going to be sort of the only pharma customer that we have. 
 But I think there's a time scale to penetrate, and then there'll be a time scale also to those customers ramping up to apply the technology in more areas over time. So I think it's sort of a 2-stage adoption. You -- get in the door and get the first instrument sold and then work with them to scale the number of applications they run. 
 But we're feeling very good about where we are. I think we've really learned what matters and what they're interested in doing, and we're now trying to replicate that success in other accounts and continue to build the momentum and diversify our -- sort of our segment reach. 
Swayampakula Ramakanth: Perfect. One last question from me. On the presentations that the -- I believe it's Human Proteome Conference, how -- what was the kind of feedback, not only from what was being presented there, but also in terms of getting additional leads and people getting excited and your phones going off the hook. 
Jeffrey Hawkins: Yes, it's a good question. I think the feedback consistently is positive. I think, obviously, when customers begin talking about the technology, there's always an added benefit of peers who are peers -- peer to peer, right? The customer talking about their experience resonates with another customer. So I think that's a net positive. 
 We're still so early in our commercial phase as a company, we're not a big multibillion-dollar entity that has been in business for decades where you just have a natural name brand recognition. 
 So I think trade shows for us, those conferences, the presentations, webinars that our customers present on, all of these sort of marketing activities or events are still very high value for us. We get to meet a lot of people in face-to-face. We're able to generate leads and find people who are interested in learning more, perhaps demoing the technology. 
 So I think for the foreseeable future, trade shows, webinars, these various tools that we're sharing with you, that we're doing will continue to be very fruitful in terms of our ability to meet new people, find new opportunities and pursue those towards placements and utilization. 
Operator: Our next question comes from Kyle Mikson with Canaccord Genuity. 
Kyle Mikson: Congrats on the quarter. So Jeff, can you kind of walk through or maybe like parse out the components of product revenue. At this point, it's been a year or so since that -- the soft launch was commenced where you have some sense of instrument and consumable mix and pull-through, things like that. 
 And then if you could, I mean, the service revenue really increased a ton. I mean it's possible you went through that already. But could you just talk about some of the dynamics here that we're seeing with the certain product level segments in certain services? 
Jeffrey Hawkins: Yes. I'll start and talk a little bit about the services and then perhaps, Jeff, you can pick it up and talk about sort of overall revenue and the mix to the extent we break that out. 
 I think on the services front, Kyle, it's a mix of a couple of different things in there. Obviously, we placed some instruments throughout 2023, and some of those instruments are now coming off of their initial warranty and moving into service contracts. So that is one sort of source of service revenue that comes through. 
 The other source of service revenue is some of our customers are electing to sort of engage us in more of an advanced training to really come in and train a large number of operators across their laboratory and give them sort of deeper hands-on training and interactions, then maybe they can get on their own by setting the machine up. 
 So there's a cost associated with that advanced training. It's not a significantly large number, but when multiple customers sort of choose to take on that advanced training, it can certainly add to that services line. So sort of those advanced trainings and service contracts are the 2 primary drivers there on the services line. 
 Jeff Keyes, how about you go into the rest of it? . 
Jeffry Keyes: Yes. Kyle, on mix, we don't break that out in our financials. But what I can say is that its primarily driven by instruments, as you would expect, in early commercial days for the company, we're focused on instrument placements and also pull-through for sure, but -- it's really about instrument placements and getting those out in the field. 
 So our general mix is high percentage on instrument placements. And then on pull-through from a kits standpoint, we're still watching that as we go through the commercialization phase. 
 I mean we have an evolution of what we think that the consumable pull-through will be long term, and there's going to be a little difference between the academic labs and the commercial customers, biopharma and pharma that we're going to watch closely as we go through this ramp process. And then we can provide potentially more information in the future. 
Kyle Mikson: Okay. Okay. That was great guys. And then going back to you, Jeff Hawkins, the -- all these version -- these new version kits, I guess, 3 is coming up pretty soon.
 When we think about like which kits or consumables are kind of ready for prime time, was the version 2 sort of like the -- you consider that to be like the legitimate sort of like first product for the company and then these  incremental versions are iterations upon that? 
 Or like when do we see like an inflection in terms of what like a customer can really do with Platinum and in terms of capabilities and sort of just robustness of what you can kind of do with sequencing peptides? 
Jeffrey Hawkins: Sure. Yes. So I would tell you that the version 2 kit really did represent a pretty significant increase in terms of both the output sort of how much sequencing information a customer could get from their sample, but also a very meaningful improvement in the reproducibility of those sequencing results, right? 
 The ability to put a sample in and run it across multiple chips or multiple days and get a very reproducible set of results. So I think that version 2 kit was that first big sort of step up in improvement over the initial version 1 kit. 
 I think the way I would think about version 3 is, I wouldn't view it as incremental in terms of it's going to be a very modest improvement. I still think we are in a stage of our innovation that we're really seeing great inflection points in terms of the technology evolution, the output, the coverage and our performance, broader sample type compatibilities, various things improving each time we rev it. 
 So I think, in general, when we version the kit, Kyle, we're versioning it when we think the totality of the improvements made is a very meaningful increase in performance such that customers will be able to do things they haven't been doing before. And each -- and then on a future version 4 kit, it would be something similar. 
 We don't really intend at this point to do very small sort of iterative changes that might be seen as like a 2.5 or something. So I really think of these changes, V2 to V3 and so on as really unlocking more and more capabilities and application space for customers. 
Kyle Mikson: Okay. Yes, that's perfect. Let me ask another one before I pass on. On the Platinum analysis software. That was an interesting launch. Jeff, and just given your background experience, just curious like where that kind of stands in the world of like the software ecosystem when you think about life science tools research -- in the research world like if you think about [ Dragon or the base space ] things like that, secondary analysis or tertiary analysis. How -- given you [indiscernible] proteomic information, which is like super complex, just coming from like mass spec, I mean, that's definitely pretty complicated. 
 What's like the future of -- I guess 2 questions, why was this such a bottleneck or like an unmet need for customers like the software? 
 And then number two, like what's the future of kind of monetizing data from the platform over time? 
Jeffrey Hawkins: Sure. Yes. Good question. So I think, obviously, in the proteomics space, software or analysis of data has always been a very challenging thing. I think if you go into a large proteomics core lab that's running mass spec, they'll often have some number of bioinformatics staff or data science type of staff that has created custom pipelines or analysis tools that make it easier for them to analyze data as it comes off of the mass spec. 
 That's great when you're in the types of institutions that have those resources and capabilities, but that's not the majority of research labs in the world, right? That's a small number of labs that have that level of sophistication. 
 So I think automating of data analysis was always sort of a core tenet of the strategy to ensure that over time, we could distribute this technology as broadly as possible. 
 Now flipping more to the question of sort of what is the future. I think that software launch, Kyle, the way I would think about it is there is the core analysis software, right? There's this -- as we talked about, there's a kinetic model and a kinetic database that underpins sort of the general detection and calling of amino acids and alignment of peptides and then ultimately protein identification if that's the type of work you're doing. 
 So some of these are going to just be improvements we make to keep making those databases more and more accurate, more and more capable, seeing real-world sequencing data, a very powerful sort of source of data to be able to fine-tune those but then other aspects are more about purpose-built tools. 
 And I think that's maybe where the analogy starts to align a little bit closer with some of the analogs you're giving from the DNA world, Dragon or base space. 
 I think you'll see us sort of think about the problem in a similar way and that there will be core tools that exist that get used on every run, and we'll seek to continue to improve those tools and make them more accurate and make them able to detect events we haven't been able to sort of detect before. 
 But I think you'll also see us think about sort of customized workflows that maybe help do a very specific type of analysis the customer is looking to do in a very purpose-built way and perhaps be very tuned and tailored for that rather than using the more generic or general software tool. 
 So I think you'll see us do a little bit of both. It's a tremendous opportunity to expand the technology capability and application space and improve the customer's ability to really apply the tech and it can be done on its own cycle sort of almost independent of the cycles we are operating here to make new sequencing kits like the Version 3 kit. 
Operator: This concludes our question-and-answer period. I would now like to turn it back over to Jeff Hawkins for closing remarks. 
Jeffrey Hawkins: Thank you, everyone, for attending today. We believe the progress we've made during the first quarter was outstanding. We are excited to be executing on our full commercial launch, and we remain on track for our version 3 sequencing kit delivery by the end of Q3 2024. We look forward to providing an update on our next call. Thank you. 
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.